Disclaimer*: This transcript is designed to be used alongside the freely available audio recording on this page. Timestamps within the transcript are designed to help you navigate the audio should the corresponding text be unclear. The machine-assisted output provided is partly edited and is designed as a guide.:
Operator: 0:05 Ladies and gentlemen, thank you for standing by, and welcome to First Citizens BancShares Fourth Quarter and Year End 2021 Earnings Conference Call.  As a reminder, today's conference is being recorded. 0:41 I would now like to introduce the host of this conference call, Ms. Deanna Hart, Senior Vice President of Investor Relations. You may begin.
Deanna Hart: 0:52 Thank you, Gallus (ph). Good morning and thank you for joining us today. It is my pleasure to introduce our Chairman and Chief Executive Officer, Frank Holding; as well as our Chief Financial Officer, Craig Nix who will provide an overview of our fourth quarter and year end results and will be referencing our investor presentation, which you can find on our Investor Relations website. We are also pleased to have several other members of our leadership team in attendance today, who are available to participate in the Q&A portion of our call if needed. Following the completion of our formal presentation material, we'll be happy to take any questions you may have. We will mostly be speaking today on First Citizens BancShares stand-alone financial results, but we will provide an update on our merger activities with CIT as well as some CIT standalone quarterly and year-to-date financial highlights which are included on pages 22 and 23 of the presentation. 1:48 Our comments during today’s presentation will include forward-looking statements, which are subject to risks and uncertainties that may cause our results to differ materially from expectations. We assume no obligations to update such statements. These risks are outlined for your review on Page 2 of the presentation. We will also reference non-GAAP financial measures, reconciliations of these measures against the most directly comparable GAAP measures are available in the appendix. 2:17 Finally First Citizens does not responsible for and does not added nor guarantee the accuracy of our earnings teleconference transcript, provided by third party. 2:25 With that, I'll hand it over to Frank.
Frank Holding: 2:29 Thank you, Deanna. And good morning, everyone. We appreciate all of you joining us today. And as you can see, on page three of our investor presentation, we're the dawning of a new and exciting era, with the closing of our transformational merger with CIT, creating a top 20 US financial institution with over $110 billion in assets. We believe this merger brings opportunity to become an even better bank than we've been for the last 124 years. It marks big and important changes in our long and accomplished history, in terms of our structure, size, scope, and capabilities. 3:13 The goal and combining our two companies is to create long-term value for all our constituents, including shareholders, customers, associates and communities. And will do this through our emphasis on stable leadership enduring values, and a commitment to helping people and businesses prosper by focusing on their long-term success. 3:39 We also believe success is grounded in our forever first motto as outlined on page 4 of the presentation. The core of forever first is the notion that we're going to be here for the long-term, and that we will always put our customers first. While the way we do banking changes as we bring forward new products, new services, new conveniences, and new ways of engaging our customers. The key principles of financial stability, a focus on long-term growth, and customer experience are things that will never change. 4:17 On page 5 of the presentation, you will see our statement of purpose, better banking, better tomorrows. In recent months, we've looked at the statement with fresh eyes to update it, as we look forward to the merger with CIT. Wherefore forever First focuses on our customers. The Statement of purpose focuses on our associates, specifically how we work and the culture we want to promote. 4:47 Supporting the statement our “three pillars”, and I'll put that in quotation marks, which helps express the ways we deliver better banking and better tomorrows. These are qualities that are essential to who we are and how we work. The first pillar is long-term thinking. We place a lot of emphasis on building relationships to create long-term value and opportunity for our customers. The second pillar is service excellence. We believe in providing better service to our customers than our competitors and are dedicated to doing it with integrity, transparency, and respect. The third pillar is powerful results. We want to help create better outcomes for our customers, associates and communities. 5:43 As we work to integrate CIT, this statement will guide our teams and ensure we remain focused, all while delivering value to our shareholders. Since the combination of our companies on January 3, we've been actively engaging with and ensuring our new associates are properly welcomed to the combined company with the goal of binding us all into a unified team. We're also actively engaging with our customers, reaffirming our commitment to helping them with their financial needs. 6:20 As far as other integration activities, we anticipate the OneWest Bank conversion will occur during the third quarter, followed by legacy Mutual of Omaha during the fourth quarter. We are working diligently to finalize our combined strategic priorities and integration timelines, which we will share over the coming months. 6:47 This morning, we reported fourth quarter net income of $123.3 million or $12.09 per share, delivering another quarter of strong results to our shareholders. When compared to the third quarter. We saw increased net income – increased net interest income despite continued growth and deposits and pressure from our excess liquidity. We were able to deploy some of this excess liquidity into our loan and investment portfolios, despite the decline in the loan portfolio from SBA-PPP loan forgiveness activity. Non-interest income from our core fee income producing lines of business continued to be a source of strength, our credit quality remains solid, resulting in another net provision benefit. 7:48 All in all, it was another great quarter for First Citizens, and I want to thank all of our associates for their commitment in 2021. As we look forward, I want to mention a change we're making around the middle of the year regarding NSF and OD fees and overdraft fees. We will be eliminating our NSF fees and significantly lowering our overdraft fee from $36 to $10 on consumer accounts, we believe these changes are necessary to remain competitive in the current marketplace. 8:25 I will turn it over to Craig for a closer look at our financial results and then we'll open the line for questions.
Craig Nix: 8:32 Thank you, Frank. And good morning, everyone. Starting on page 6 of the investor presentation, I will cover our fourth quarter earnings highlights earnings for the fourth quarter totaled $123.3 million down $800,000 from the linked quarter and $14.8 million from the same quarter a year ago. But earnings were down compared to those periods, we are pleased with our core earnings performance – performance, which I will touch on in a moment. Earnings for the fourth quarter translated into a return on average assets of 0.84% and the return on average equity of 10.96%. 9:13 Net income per common share was $12.09 compared to $12.17 in the third quarter, and $13.59 in the comparable quarter a year ago. For the late quarter lower earnings were due to higher non-interest expense and a decline in gain on sale of securities partially offset by increased net interest income and an increase in net benefit for credit losses. lower earnings from the comparable quarter a year ago were due to lower fair value, market value adjustments on equity securities and decline and gain on sale of securities, higher non-interest expense and lower SBA-PPP income all partially offset by higher net-interest income ex-PPP, a decline in provision for credit losses and higher core non-interest income. 10:08 While earnings were down for the linked and comparable quarters, we were pleased with ex-PPP net-interest income growth as well as core non-interest income for our – from our fee income producing lines of business. We were also pleased with our comparable fourth quarter results from a pre-provision net revenue growth perspective after removing non-core income and expense items. We continue to experience strong credit quality and reported a net recovery for the quarter. In addition, macroeconomic factors continue to improve resulting in a further reservedly, providing a $5.1 million net benefit from provision for credit losses during the fourth quarter. 10:50 For the year as macroeconomic factors have improved and we have sustained good credit quality, we released $45.8 million in reserves compared to a reserve bill of $35.9 million last year related to the uncertainty surrounding COVID-19. 11:09 On page 7, we highlight our year-over-year results, net income total $547.5 million for the full year at $55.7 million or 11.3% increase over 2020 is translated into a return on average assets of 1% and a return on average equity of 12.84%. The most significant factor contributing to the increase in earnings was a $36.8 million net benefit from provision for credit losses in 2021, compared to provision expense of $58.4 million last year. 11:51 The net charge-off ratio for the year declined from 8 basis points to 3 basis points, while net interest margin declined by 51 basis points. Our efficiency ratio remained flat, primarily due to core net revenue growth offsetting core non-interest expense growth. 12:14 Turning to pages 8 through 10, I will cover trend and net-interest income and net-interest margin. Net-interest income increased by 3% versus the prior quarter, primarily driven by higher SBA-PPP income, higher loan and investment balances only partially offset by lower loan and investment yields. While an increase in SBA-PPP interest income accounted for most of the dollar increase in net interest income during the quarter, net interest income ex-PPP and PCB loans increased by $5.3 million. 12:55 This increase over the linked quarter was due to loan investment portfolio growth, offsetting impacts from the low-interest rate environment and excess liquidity. We are pleased that loans ex-PPT grew at an annualized rate of 5.7% over the third quarter. While the increase in the absolute level of net-interest income during the quarter with a bright spot, as expected net-interest margin declined from the linked quarter by 3 basis points. As discussed in prior quarters, we continued to operate with liquidity above normal operating ranges, which continued to put downward pressure on net-interest margin. 13:36 On prior calls, we stated that we were monitoring interest rates closely and looking for opportunities to redeploy excess liquidity to grow the absolute level of net interest income. So in addition to solid organic loan growth during the quarter, we invested $2 billion in short duration US Treasuries to increase interest income while adding minimal interest rate risk. We thought the time was right to implement the strategy given that the market had fully priced in six Fed interest rate hikes into the ‘22 and ‘23. yield curves, thereby allowing us to pick up a sufficient spread over the Fed funds rate as we await the Fed to raise rates. 14:20 Despite deploying this cash and some earlier in the year, leading to a $3.2 billion increase in our investment portfolio over the last year. Our overnight investment balance at the end of the fourth quarter was $9.1 billion, essentially unchanged from the prior quarter. As mentioned in prior quarters, we purposefully maintain a conservative posture with respect to liquidity. Given that we believe there were opportunities to optimize our balance sheet once our merger with CIT was complete. 14:53 To that end, we announced Monday, that we intend to regain $2.9 billion of senior unsecured debt assumed in connection with our merger with CIT. The debt will be redeemed on February 24, 2022, the $2.9 billion includes four unsecured notes with maturities ranging from 2022 to 2025, and a weighted average coupon rate of 5%. This redemption aligns with our strategy to optimize the balance sheet for the newly combined company as we work to reduce higher debt costs by utilizing excess cash from our deposit growth. 15:31 In 2022, net interest income ex-PPP is poised to grow through balance sheet growth. However, we expect net – headline net interest margin to decline, albeit more moderately than it did in 2021. Due to continued excess liquidity at SBA-PPP income becoming less of a contributor moving forward, we will continue to seek opportunities to grow absolute levels of net interest income to offset declines in margin through organic loan growth, opportunistic additions to our investment portfolio, and continuing to optimize the liability side of the balance sheet. 16:10 Turning to page 11, I will cover non-interest income, which totaled $114.3 million during the fourth quarter. Headline non-interest income was down $8.7 million compared to the linked quarter driven mostly by an expected decline in securities gains, core non-interest income was relatively stable for the link periods. Headline non-interest income declined by $12.5 million dollars when compared to the fourth quarter of 2020. Primary drivers included a $21.2 million reduction in fair market value adjustments on equities and securities gains partially offset by an $8.6 million increase in income from fee producing lines of business. The most significant factor of the increase with higher wealth income, driven by stronger sales and market value impacts leading to growth and assets under management. We also saw increases in service charges and income from Credit from Card Services. The increases were partially offset by a decline in mortgage income. 17:17 Turning to 2022, we expect continued momentum and are well and payments related businesses, we expect to continue to see moderation in mortgage income due to the impact of higher mortgage rates and consequently the slowing and refinance activity. As Frank noted earlier, we are making changes to our NSF and overdraft practices, which will reduce service charges. Consumer NSF and overdraft fees constitute approximately 50% of our service charges Income Statement line item. And we expect this change to result in a 35 to 40% decline in service charge revenue once fully implemented. 17:58 In terms of the dollar impact, we estimate a 2022 impact in the $15 million to $20 million range, and the full impact going forward to be between $35 million to $40 million. Given all of these factors, we expect low-single digit percentage growth and core non-interest income in 2022 as well paint – wealth and payments businesses continue to grow, providing an offset to lower mortgage and service charges income. 18:30 Turning to page 12, I will cover non-interest expense, non-interest expense increased by $10.4 million over the linked quarter, most of the increase occurred and other non-interest expense of the largest increases in foreclosure and collection expense and consulting costs. The remainder of the increase was spread among other general and administrative accounts. The efficiency ratio increased slightly during the quarter from 66.09% to 66.31%. When considering the impact of the current quarter's expenses from merger related costs, the impact of merger pre-hires and other episodic expenses, expenses were in line with expectations. We expect that our run rate and I'm talking legacy FCB here will increase by approximately 3% to 5%, next year, reflecting wage pressures, Salesforce additions and well in our fastest growing markets, and continue – and continued investment in digital transformation. 19:36 Page 13 provides balance sheet highlight and key ratios, and I will cover the significant components of the balance sheet on subsequent pages. Turning to page 14, I will cover loan growth for the linked quarter and year-over-year periods. Loans decreased $144 million or about 1.8% on an annualized basis this quarter, primarily due to a $593 million net decrease in SBA-PPP loans. 20:03 As I mentioned earlier, excluding PPP loans, we experienced solid annualized organic growth of 5.7% over the third quarter, the largest growth components were commercial and industrial and under occupied commercial real estate loans. On a year-over-year basis, loans declined by $420 million or about 1.3% primarily due to a $1.9 billion decrease in SBA-PPP loans, excluding PPP loans, we saw organic growth of $1.5 billion or 4.9%. 20:39 Overall, we are pleased with organic loan growth this year and we expect that growth will continue in the mid-single digit percentage range moving forward. However, the ultimate level of loan growth will be dependent upon continued economic expansion and our markets. 20:56 Turning to pages 15 through 17, I will cover a credit quality trends and our allowance for credit losses. Credit quality continues to be a source of strength. We reported a total net recovery of 1 basis point for the quarter. The non-performing assets to total loans and other real estate ratio was 0.50% (ph) at quarter end, down from 0.65% in the prior quarter and the lowest level since the second quarter of 2019. 21:28 Given these trends and improvement in macroeconomic factors, we released $45.8 million in reserves year-to-date, compared to reserve build of $35.9 million last year related to uncertainty surrounding the pandemic. Our allowance ratio ex-PPP loans, the time mostly from the time modestly from 58 basis points in the third quarter to 56 basis points in the fourth or 0.56% compared to the 0.58% in the third quarter, while credit quality continues to be strong, and we have a little indication that it won't continue to be moving forward. We do not expect significant reserve releases in 2022 and anticipate building reserves to support loan growth at some point during the year. 22:19 Pages 18 and 19 are covered deposit trends and our funding mix. We continue to experience strong deposit growth during the fourth quarter, with deposits growing at an annualized rate of 10.6% since the end of the third quarter. On a year-over-year basis deposits grew by 18.4%. Our balance sheet continues to be funded predominantly by core deposits with deposits representing over 96% of our funding base at the end of the quarter. The total cost of deposits declined by 1 basis point during the quarter to 6 basis points to total cost of interest bearing last liabilities also declined by 1 basis point. 23:02 Deposits and deposit growth are obviously at record levels. As we move forward, we will continue to monitor our deposits in the pandemic flow, to try to project future deposit growth and customer behavior. While we acknowledge that the pandemic has contributed to our deposit growth, we are pleased that over two-thirds of our 2021 deposit growth occurred in core-checking account. While we expect that overall deposit growth will moderate in 2022. We expect overall deposit balances to remain elevated and that they will continue to be a source of strength for our balance sheet and margin even as interest rates rise. 23:39 Turning to page 20, our capital position remains strong with all ratios above are within target ranges. As of the end of the fourth quarter. Our CET1 ratio was 11.50% and our total risk based capital ratio was 14.35%. Most of the growth in our risk based capital ratios was attributable to strong earnings during the year partially offset by growth in total risk weighted asset. As we have noted in prior quarters, our leverage ratio has been impacted by significant deposit growth that remains within an acceptable target range. As earnings are mostly offsetting the impact of increasing average assets. We expect that our merger with CIT, we will return our leverage ratio to a more normal level. 24:32 As Deanna stated earlier, we have included CIT income statements and balance sheets on pages 22 and 23 of the presentation. First, I will provide year-to-date income statement highlights for the year CIT reported net income of $922.3 million compared to a loss of $615.3 million in 2020. For the year CIT recognized a benefit for provision, totaling $327.4 million, compared to provision of $803 million in the prior year. 25:10 The provision relief in 2021 reflected a combination of factors, including a continued low level of net charge-off, a reduction in loan balances, as well as modest improvements and various macroeconomic factors. Note that the net charge-off ratio declined from 1.14% in 2020 to 0.16% in 2021. Nonaccrual loans declined by $190 million or by 32% during 2021, and ended the year, at 1.21% of total loans, now for 1.63% at the end of 2020. 25:48 Despite reserve releases during the year, the allowance for credit losses at the end of the year was 2.2%. Above the pre-pandemic post CECL implementation level of 2.04%. Net interest income held up fairly well during the year despite lower loan balances declining by $11.4 million, as lower interest expense on deposits and borrowings mostly offset a decline in interest income. 26:18 Non-interest income increased by $84.8 million, or about 6.2% over the prior year, primarily due to higher gain on sale of investment securities and higher factoring commissions. Non-interest expense was down $731.4 million, the largest component of the decline was related to a goodwill write down in 2020, which did not recur in 2021 that our main  spread among other operating expense accounts. 26:49 Turning to the quarter net income – net income for the fourth quarter was $216.1 million, up from $175.5 in the linked quarter. Net-interest income increased by $5.9 million due to higher investment balances and higher yields on earning assets lower deposit balances and run off of higher costs CDs and broker deposits. These positive impacts more than offset lower loan balances, which declined by 2% from the end of the third quarter. The net – the benefit from credit provision increased by $3.6 million due to the same factor side for the year-to-date change. Net charge-offs were 11 basis points during the fourth quarter. 27:36 During the fourth quarter non-interest income increased by $40.9 million over the linked quarter. The prior quarter included a $13 million charge related to the release of the cumulative transition adjustment related to the liquidation of a foreign subsidiary. The remaining $27.9 million increase was related to higher rental income due to increase rail utilization and upward pricing of leases, higher factoring commissions on seasonally higher volume, higher capital market foods and higher equipment sale gains, all partially offset by lower gains on the sale of securities. 28:14 Non-interest expense declined by $18 million, primarily related to lower headcount during the quarter. Turning to the balance sheet, loans declined by $3.3 billions at the end of 2020. Most of the decline is attributable to elevated levels of prepayments on real estate finance loans, the sale of the aviation portfolio and continued sales with consumer mortgage loans. 28:40 During the fourth quarter, originations increased over the prior quarter, but they were outstripped by commercial loan prepayment and the sale of consumer mortgage loans. Deposits were down $3.7 billion dollars, mostly due to run-off of higher rate CDs and CIT continued to optimize its balance sheet. We are pleased with CIT's year-to-date and quarterly results and are excited about the combination of our companies. Just as we were when we announced the plan merger in October of 2020. We remain positive about our prospects as we one preserve and grow both banks core businesses, two optimize the funding on the combined balance sheet and three, enhance operational efficiency by gaining economies of scale. 29:28 Work is currently underway to produce a financial forecast and plan for the combined company. This involves reassessing our earnings expectations for 2022 and 2023. By gaining a better line of sight into CIT’s business plans and financial forecasts, validating expected efficiencies and finalizing our purchase accounting mark. Given that this work is underway, we will not be sharing pro forma financial information on the combined company today. We estimate that this work will be complete by early March, and we plan to share the results with you as soon as practicable after its completion. 30:07 This concludes my comments. Thank you all for joining us today. We appreciate your time. I will now hand the floor back over to the operator to open it up for Q&A.
Operator: 30:21 Ladies and gentlemen, . Our first question comes from the line of Kevin Fitzsimmons with D.A. Davidson.
Kevin Fitzsimmons: 31:16 Good morning, everyone.
Frank Holding: 31:19 Good morning, Kevin.
Kevin Fitzsimmons: 31:23 I just want – I appreciate the detail on, putting the excess liquidity to work and the step up with the short-term securities. And Craig, I'm just wondering beyond that move, what additional moves you might be, and I know, we're probably talking just on First Citizens standalone basis for what other moves in terms of increasing the securities portfolio, you would likely look to do in the coming months? Thanks.
Craig Nix: 31:59 Well, I can’t say, because you have the company's balance sheet that combined cash would be around $12 billion. The redemption that we just to take it to around $9 billion. Overall, that's still suboptimal from an overnight investments to earning assets ratio. So we will continue to look for opportunities to redeploy that cash into investments and loans. And we will also look for opportunities in the combined company for funding synergies and specifically targeting higher cost, deposits on the liability side to replace with the lower cost core deposits.
Kevin Fitzsimmons: 32:48 Okay. Thank you. One question on just, this is more looking further out on a combined basis, but not getting into the weeds on the numbers, but I'm just thinking more conceptually in timing, I always thought of that one of the opportunities was combined the company's integrated get performance up to a certain level and then get more comfortable stepping in and utilizing some of the excess capital and buying back to stock and I'm just, Frank, I'm curious, what your thought, given that, we've had the delay in closing the deal and now you've said when you expect to get the conversions done, just curious what your timing, expected timing might be when you would feel comfortable stepping in and doing that?
Frank Holding: 33:38 Well, Kevin, obviously, the first work ahead for us is to integrate the companies and exhibit that we are falling through with our integration plans. So as soon as we can after that occurs, we would demonstrate that we're integrating as planned and that we, put some earnings together and continue to build capital as soon as, as we can after that, we would intend to resume stock repurchases. I don't really have a specific timeframe, but as soon as possible.
Kevin Fitzsimmons: 34:22 Okay. Okay. Thanks very much. Thank you.
Frank Holding: 34:25 Okay. Thank you, Kevin.
Operator: 34:28 Your next question comes from the line of Brian Foran with Autonomous Research.
Brian Foran: 34:36 Hey, good morning. Maybe just a follow-up on the March potential communication of financial forecast pro forma, just in terms of nuts and bolts, is there anything we should watch out between now and then, do you file a pro forma balance sheet at any point or is, if we're kind of waiting for more info on the pro forma company, March is the next milestone?
Frank Holding: 35:02 We are required to file pro forma information 71 days or 75 days after the effective day of the acquisition, so we do intend to do that and shortly thereafter, we would plan to come back and share those results.
Brian Foran: 35:21 Great. And then, recognizing that the quantitative work is underway, I wonder if just qualitatively you could share it's been 400 days or so. You've had a lot of time to watch CIT sometime to start, working on the integration, is there any items you would highlight for people as better or worse than initial expectations again on a qualitative basis, then you step back and look, what's going better, what's going to worse?
Frank Holding: 35:54 I would say what's going better is definitely credit losses, credit quality. Actually in both companies has gotten better, obviously, we've continued over this period. We've gotten around the uncertainty – some of the uncertainty around the pandemic that was talking some conservatism in terms of some of the adjustments. Some of that uncertainty as anticipated. So I would say that would be the major thing I would point out in that, other items probably, I don't think there will be significant fluctuations.
Brian Foran: 36:36 And then maybe lastly, it was on the NIM commentary, I mean first to clarify, when you talked about some residual pressure, is that including any change in interest rates from the Fed or is that where we are today not contemplating potential fed hikes?
Craig Nix: 36:54 Are you talking about our forward look?
Brian Foran: 36:57 Yes. I think if I got it, right, when you were talking about the NII guide, you talked about growth driven by earning assets, but with some the pressures still, so hopefully, I got that right and then just clarifying, is that NIM pressure include any rising rates or is that extra rates?
Craig Nix: 37:17 It includes and if you look, if you really have to look at it, if you look at without PPP, we sort of bottom out in the first quarter and then when the Fed starts – when rates start rising and we do have some rate hikes built into the – to our pro forma. We started turnaround in the second, third and fourth quarters, and obviously, the more rate increases is, the higher – the turnaround – the better that turnaround would be. So, we do start to see margin improvement sort of Ex-PPP, sort of third, fourth quarters, as those rate hikes take effect.
Brian Foran: 38:01 Great. Thank you.
Craig Nix: 38:04 Thank you.
Operator: 38:05 Your next question comes from the line of Brady Gailey with KBW.
Brady Gailey: 38:11 Hey, thanks Good morning guys. I wanted to start this – I wanted to start on a follow-up on the share buyback. And if you look at legacy FCNCA, you guys have been pretty active in the buyback, like when I look at 2019 and 2020 combined, I think repurchased about 16% of the companies of a big figure. You mentioned reengaging in the buyback. Will FCNCA be sensitive to the price of the stock when they think about buybacks or the way that you view it, it's just kind of good practice to always invest internally and repurchase shares over time. I'm just wondering how this stock has been pretty volatile recently. But if stock goes up a lot, should we still expect share buybacks, or do you think that you're really going to be pretty price sensitive there?
Craig Nix: 39:07 I would say, I will give  answer here, I would say our general philosophy is to remain active in buybacks, but obviously, price weighs into that. We do want to make sure, there's a tangible book value payback period, that's adequate, that we're actually giving the return on that investment, just slightly would into any other acquisition with a general philosophy would be to remain active.
Brady Gailey: 39:38 Okay. And then I think I remember in the past, you guys guiding to a target common equity Tier 1 ratio of 9% to 11%, I know you're on top of that, today, but that year end, but that's without CIT. When you think about the buyback, what capital ratio are you focusing on the most and what is the target of that ratio longer-term?
Craig Nix: 40:07 Well, first of all, and I'm not going to share the pro forma of capital ratio as a combined company, but I think someone asked about what has gotten better obviously with the earnings of both companies in the credit quality, both companies improving, our capital ratios are going to be fairly high coming into this transaction much higher than we projected back in October of 2020. So, I would say that our capital ratio, I'm not going to – I'm not going to provide a target that our capital ratios will be significantly, and we'll have significant excess capital to grow internally or repurchase shares. So we feel like I will have good capacity to do that. We do have target ranges that we operate in, and we'll be mindful of those as we engage in that activity.
Brady Gailey: 41:00 And just remind us Craig, what are your target ranges kind of longer-term with capital, it is the target ratios still common equity Tier 1 and is it 9% to 11%?
Craig Nix: 41:11 That's correct.
Brady Gailey: 41:16 Okay. All right. And then finally, for me, just on loan growth, mid-single digit, I know as much you guys have been pointing too. That's what you did this quarter. So in line, as we think about ’22 and ’23, do you think the combined company will still be able to grow loans in the mid-single digit level with CIT involved, like should that change at all with the new pro forma company?
Craig Nix: 41:45 We would probably aspire to that, but I will tell you based on where things are right now, that would be a challenge. And we're really right now I'm trying to get a better line of sight into CIT’s business units to determine that. So I would not promise our project mid-single digits percentage described at this time for the combined company.
Brady Gailey: 42:10 Okay. All right, great. Thanks for adding the color guys.
Craig Nix: 42:13 Thank you.
Operator: 42:18 That now ends our Q&A session. I would now like to turn the call back over to our host for any closing remarks.
Deanna Hart: 42:27 Thank you, Gallus, and thank you everyone for joining this morning. As always, we are appreciative of your ongoing interest in our company and if you have any further questions or need additional information, please feel free to reach out. I hope everyone have a great day.
Operator: 42:43 Ladies and gentlemen, this concludes today's conference call. You may now disconnect. Have a wonderful day.